Executives: Valter Pinto - Investor Relations, Capital Markets Group Jill Blanchard - President and Chief Executive Officer Jim Segreto - Chief Financial Officer
Operator: Good day and welcome to the SPAR Group 2015 First Quarter Earnings Conference Call. Today’s conference is being recorded. At this time, I would like to turn the conference over to Valter Pinto with Capital Markets Group. Please go ahead, sir.
Valter Pinto: Thank you, operator and good morning. I would like to thank everyone for joining us today for the SPAR Group 2015 first quarter financial results conference call. On the call today, your presenters will be Ms. Jill Blanchard, Chief Executive Officer and President and Mr. Jim Segreto, Chief Financial Officer. Before we begin, I am going to review the company’s Safe Harbor statement. Statements in this conference call that are not descriptions of historical facts are forward-looking statements relating to future events. As such, all forward-looking statements are made pursuant to the Securities Litigation Reform Act of 1995. These forward-looking statements are subject to risks and uncertainties and actual results may differ materially. When used in this call, the words anticipate, could, enable, estimate, intend, expect, believe, potential, will, should, project and other similar expressions as they relate to SPAR Group are such forward-looking statements. Investors are cautioned that all forward-looking statements involve risks and uncertainties, which may cause actual results to differ from those anticipated by SPAR Group at this time. In addition, other risks are more fully described in SPAR Group’s public filings with the U.S. Securities and Exchange Commission, which can be reviewed at www.sec.gov. With that, I would like to turn the call over to Jill Blanchard, CEO and President. Jill, the floor is yours.
Jill Blanchard: Thank you, Valter and thank you everyone for joining us today for our 2015 first quarter financial results conference call. Compared to last year, we had increased our revenue and improved our bottom line. In the international division, adjusting for the impact of foreign exchange, we actually increased over 35% with organic growth contributing 22%, resulting in a positive net income for the period compared to a loss in the first quarter of 2014. And in the domestic business, while our revenue was flat year-over-year, both our margins and net income improved compared to the same period last year and the balance sheet also continues to be strong. Jim is going to go into further financial details in just a few minutes. As we have said in previous calls, we have set a plan in motion in 2015 and beyond to position SPAR as a global leader in the retail services industry and [indiscernible] trends of other technologies and senior level personnel. I am really happy to say that we are already seeing the fruit of our new positioning and brand identity opportunity having been invited to more large-scale Blue Chip company that [indiscernible] than ever in our history through the first few months of 2015. In April, we launched our new website, along with the official launch of our SPARtrac global retail service operation system that we discussed on our last call. The website does a great job of reinforcing our new positioning and showcasing our advantages, results and client testimonials and to provide easy access for our clients to give real-time data and results of their ongoing programs through our SPARtrac portal. We have already received excellent feedback on SPARtrac from our clients. It is not only the retail services industry’s first global steel and retail operation system it is the most comprehensive one. It is the culmination of months of research development and testing and no other competitive system comes even close to the capabilities of SPARtrac for managing increasingly complex merchandising, assembly, and clients' needs across the retail locations around the globe. As you might imagine for the deployment of thousands of skilled workers who are responsible for hundreds of projects and the collections of huge amounts of data, our clients have a strong need for assistance to improve their productivity, efficiency and management of this vast amount of workload both domestically and globally. SPARtrac is a breakthrough system that gives us a competitive advantage in the industry. It manages everything clients need. It fits more than 170 applications from job initiation and field management, to data collection and reporting across other businesses worldwide and in multiple languages. Most of our competitors systems have only a handful of applications. It also allows us to manage workflow and collect data by country, district, state, retailers, store, fixture, and even down to the UPC level plus there is no limit to the amount of data that can be collected in SPARtrac compared to competitive systems that collect only few data points. And we are also developing positive solutions for our largest Fortune 500 clients in SPARtrac is a dynamic system that can be customized to each client-specific needs. And then adapt those solutions for future use by others. A press release is going to be coming out soon on SPARtrac launch, and we are excited about the system’s capabilities that continue to further launch our leadership position and providing industry best service and the growth opportunities that it’s going to bring us. With that, I would now like to turn the call over to our CFO, Jim Segreto and he will provide greater detail on our 2015 first quarter financial results before I discuss a few more of our 2015 growth initiatives. Jim?
Jim Segreto: Thank you, Jill. I too would like to welcome everyone to today’s call. A summary of our 2015 first quarter financial results are as follows. Our net revenues for the three months ended March 31, 2015 were $29.3 million compared to $28 million for the three months period ending March 31, 2014. It’s an increase of $1.3 million or 4.4%. It’s important to note that adjusting for the impact of foreign currency translation actual revenue growth year-over-year was 21%. Domestic net revenues totaled $11 million for the three months ended March 31, 2015 compared to $10.9 million for the same period in 2014. International net revenues totaled $18.3 million for the three months ended March 31, 2015, compared to $17.1 million for the same period last year, an increase of $1.2 million or 7.1%. Adjusting for FX, the international revenue actually increased 35% compared to last year. The increase in international net revenue is primarily due to incremental revenue from the integration of the acquisition in China and the increased revenue in South Africa, Canada and India. While we did experience net revenue decline in U.S. dollars in Japan, Mexico, Australia and Turkey, it is also important to note that in local currency, both Mexico and Japan did show revenue growth year-over-year. Our gross profit margin for the three months ended March 31, 2015 improved 1.5 percentage points to 23.6%. Domestic gross profit margin for the three months ended March 31, ‘15 had a greatest gain of three percentage points to 30.8% compared to 27.8% for the same period in 2014. This improvement was driven primarily by a favorable mix of project work in the first quarter of ‘15 compared to last year. International gross profit margin for the three months ended March 31, 2015 improved to 19.3% compared to 18.7% for the same period last year. The improvement in gross profit margin was primarily driven by strong performance from our businesses in South Africa, China and Japan, partially offset by lower gross profit margins in Mexico and India. The company reported a net loss of $74,000 for the three months ended March 31, 2015, or $0.00 per share, compared to a net loss of 100 – excuse me, $369,000 or a loss of $0.02 per share for the corresponding period last year. In the three months ended March 31, 2015 the company had net income before non-controlling interest of $169,000 compared to a loss of $220,000 for the same period last year. At March 31, 2015 our balance sheet remains strong with cash and cash equivalents of $4.3 million, working capital at $15.8 million and a current ratio of 2.1 to 1. Total current assets and total assets were $30.2 million and $42.6 million, respectively. Total current liabilities and total liabilities were $14.4 million and $19.8 million, respectively and our total equity was $22.8 million at March 31, 2015. With that, I would like to turn the call back to Jill for closing remarks.
Jill Blanchard: Great. Thanks Jim. Earlier, I talked a little bit about the plans that we started to implement for 2015 and beyond. The SPARtrac global retail service operations system is only one of the competitive advantages that we have and it will be implementing in 2015. We will also be providing our clients with valuable insights that they can use to improve their merchandising. And we will do that by analyzing global [ph] data from the more than 76,000 weekly store visits that we make across the globe. And we are exploring additional research on how to optimize merchandising for today’s more experiential omni-channel retail environment. Next week, we are very excited to be hosting a global summit with all of our international business partners by what they will be exploring new ways to collaborate across countries and customers to grow our collective global businesses. At the end of 2014, I spoke about a variety of new trends or technologies that we are continually pursuing to keep us at the forefront of industry and foster growth. I would like to provide an update on those now. SPAR is committed to creating new tools to aid our clients businesses, investing nearly $300,000 a month on technology, which is more than 60 times the industry average according to a 2014 survey by the World Alliance for Retail Excellence and Standard. One example of these investments that I touched on during our last call, with the integration of image pattern recognition software, we are currently field testing the use of this to improve the efficiency and accuracy of in-store audits, while also enhancing the value propositions for our current clients. And we continued to pursue business opportunities in the area of cloud merchandising, a concept to use cloud sourcing to drive more cost efficient targeted merchandising for click survey and click and collect services to optimize new omni-channel retail model, which has seen the use of variable technology and researching the incorporation of Beacon and other technologies to NOI shopping patterns for merchandising optimization, a service that will further strengthen our position as an industry expert. We at SPAR continue to be committed to growing our business through our global expansion, operational efficiency and leadership in developing new valuable solutions to capitalize on emergency – on emerging industry trends and technology. On behalf of the entire team here at SPAR Group, we would like to thank you for being on today’s call. This ends our prepared comments and we are now available to answer any questions. Thank you.
Operator:
Jill Blanchard: Okay, thank you. And again, thank you for being on today’s call.
Operator: This concludes today’s conference. Thank you for your participation.